Operator: Good day, everyone, and welcome to The Real Brokerage Fourth Quarter and Full Year 2024 Earnings Call. At this time, all participants have been placed on a listen only mode. [Operator Instructions] It is now my pleasure to turn the floor over to your host, Ravi Jani. Sir, the floor is yours.
Ravi Jani : Thanks, and good morning. Thank you for standing by and welcome to The Real Brokerage conference call and webcast for the fourth quarter and full year ended December 31st, 2024. We appreciate everyone for joining us today. With me on the call today are Tamir Poleg, our Chairman and Chief Executive Officer; Sharran Srivatsaa, President; and Michelle Ressler, our Chief Financial Officer. This morning, Real published an earnings press release including results for the fourth quarter ended December 31st, 2024. The press release, along with the audited consolidated financial statements and related management’s discussion and analysis for the year have been filed with the U. S. Securities and Exchange Commission on EDGAR and with the Canadian securities regulators on SEDAR. Before we get started, I’d like to remind everyone that statements made in this conference call that are not historical facts, including statements about future time periods, may be deemed to constitute forward looking statements. Our actual results may differ materially from these forward looking statements, and the risk factors that could cause these differences are detailed in our Canadian continuous disclosure documents and SEC reports. Real disclaims any intent or obligation to update these forward looking statements except as expressly required by law. With that, I’d like to turn the call over to our Chairman and Chief Executive Officer, Tamir Poleg. Tamir, please proceed.
Tamir Poleg: Good morning, and thank you, Ravi. I will start with an overview of our strategy and some recent business highlights. Sharran will provide an update on actions we are taking to drive agent growth and improve agent experience, and Michelle will provide a more in-depth discussion of our financial results this quarter. I’ll then provide a few closing remarks before opening up the call for Q&A. To begin, Real is a real estate technology company that is differentiated in our industry. Unlike traditional real estate brokerage firms, we provide real estate agents with a compelling combination of financial incentives, a proprietary software-based technology platform, which eliminates the need for an agent’s physical office space and a collaborative culture that we believe is unique in our industry. Our vision is to simplify life’s most complex transaction that is a purchase or sale of a home by providing agents with the tools, technology and resources they need to grow both their businesses and as individuals, all while delivering a seamless experience for clients. In the short term, this vision includes the rollout of a consumer facing product, which streamlines the client experience and enhances attachment of our higher margin ancillary services. In the long term, we expect our platform to encompass a holistic ecosystem of financial technology products and investment planning tools, providing agents with an avenue to build long term wealth. Ultimately, as the platform matures, we believe homebuyers and sellers could also benefit from the breadth of our service offering. Our goal is to redefine the role of a real estate brokerage in the lives of our agents and in the broader housing industry. Importantly, just like our institutional investors, many of our agents are also shareholders in our company. That is why we remain relentless in our focus on delivering long term value for our agents, for their clients and for shareholders. Turning to the numbers, this morning, we reported record fourth quarter and full year 2024 results. For the year, we closed over 120,000 transactions, an increase of 81% versus 2023. Total transaction value reached $49 billion, up 90% year over year, while revenue grew to $1.3 billion marking our first ever $1 billion revenue year and marking an increase of 84% from $689 million in 2023. Gross profit in 2024 grew 82% year over year to $115 million while adjusted EBITDA reached a record $40 million, up 188% from the prior year. We ended the year with 24,140 agents, up 77% from the prior year and as of this morning, our agent count is approximately 26,200 agents, meaning we’ve added another 2,000 net agents since the start of 2025. We believe these results are proof that our vision is resonating in the industry. When we take a step back and look at the broader real estate sector, it’s clear that many are waiting on a market recovery to regain momentum. However, with existing home sales remaining near historic lows and mortgage rates remaining higher for longer, waiting is not a strategy. At Real, we are focused instead on building for the future. This focus has led to incredible momentum across several key initiatives. First, Leo Copilot. Our AI powered agent assistant is now integrated across our brokerage platform, regularly handling over 2,000 daily agent interactions and helping to automate workflows that previously required human support or intervention. Leo Copilot is a tool that enhances brokerage and agent productivity and efficiency at scale. Meanwhile, we expect to launch our Leo for client’s product later this year, giving our agents another tool to delight their clients with. Second, Real Wallet, our fintech platform that was purpose built for real agents is rapidly expanding. Today, through our Reason Software, Real agents in the U.S. can apply for Real Wallet business checking accounts offered through our bank partner, Thread Bank and receive a real branded debit card. Meanwhile, agents in Canada can apply for a line of credit based on their earnings and production history with Real. Today, approximately 2,500 agents have opened Real Wallet business checking accounts with an aggregate deposit balance of approximately $7 million. In Canada, over 150 agents have accessed the credit lines drawing over $1 million. We’re very excited that this is just the first inning of the Real Wallet ecosystem. Today, we do not yet have lines of credits available in the U.S., nor checking accounts or debit cards available in Canada, but planning for both is underway. As we continue rolling out new products and features, we expect our adoption numbers to continue to grow in the future. Just four months post launch, we estimate the annualized run rate revenue from Real Wallet at over $500,000 a number that we will continue to disclose going forward. Third, regarding One Real Mortgage and One Real Title, we continue to make progress scaling this high margin ancillary business lines. For the full year 2024, mortgage and title grew by a combined 105% with over 200% growth at One Real Mortgage and 60% growth at One Real Title. For the year, Mortgage and Title contributed less than 1% of total revenue, but given gross margins for these businesses are typically 5 to 8 times higher than our average brokerage gross margins, they contributed over 5% of our gross profit. In 2025, we remain focused on expanding both business lines to further enhance our gross profit mix and margin profile and reinforce our vision of providing a seamless end to end home buying experience for consumers. To that end, in January, we were pleased to welcome Nancy Marsden as the new CEO of One Real Title. Nancy is a seasoned industry veteran who joins us from Redfin’s Title Forward, where she was a member of the team credited with driving some of the highest attach rates in the industry. Meanwhile, at One Real Mortgage, our loan officer count has grown to 90 today, up from 18 at the start of 2024. Notably, nearly half of our LOs are real agents who have become licensed loan officers as part of the Real Originate program, one of the many initiatives we’ve developed to give agents and their clients greater visibility and control over the transaction process. We have high expectations for continued growth and improved profitability for both Mortgage and Title in 2025 and look forward to updating you on our progress as the year continues. Before turning to Sharran, I’ll close out my comments with a brief forward on some of the changes to our business model that we recently announced in February. First, in the U.S., we increased the $30 transaction fee for broker review, insurance and transaction processing to $40. In Canada, we announced the CAD40 per transaction fee and increased the maximum commission cap to CAD15,000 from CAD12,000 previously. Additionally, in both the U.S. and Canada, we announced a decrease in the post cap RSU bonus for agents who participate in our stock purchase plan, which will decline from 20% to 15%. These changes will begin to take effect on April 1 for new agents and the later of May 1 or an agent’s anniversary date for existing agents other than the change in the stock purchase plan bonus, which will go into effect for all agents beginning April 1. It’s important to note that until now, we have made no changes to our business model in Canada since launching nearly four years ago. Given our experience in the country, we felt these adjustments were necessary to better reflect the exchange rate difference between the two countries as well as the higher cost of operations in Canada. Importantly, with these changes in place, we can continue investing in enhancing the agent experience while also effectively managing inflation, increased operating costs and evolving regulatory requirements. The bottom line is that we are entering 2025 with significant momentum and we are committed to making Real a powerhouse for growth, opportunity and profitability. We believe we are well positioned to continue redefining what a brokerage can and should be. With that, I’ll turn it over to Sharran for an update on our growth and agent initiatives.
Sharran Srivatsaa: Thank you, Tamir, and good morning, everyone. I’ll provide an update in a top five format to highlight some of the key themes for 2024 and our forward focus as we head into 2025. Number one, a milestone year for agent growth, 2024 was an amazing year for agent growth at Real. We added over 10,000 net agents in the year, a truly remarkable feat, especially considering it took us nearly nine years to reach our first 10,000 agents. We closed 2024 with more than 24,000 agents, up from 13,650 just one year prior at the end of 2023. This is not just growth, but an acceleration that reflects the increasing appeal of our model. More agents are choosing Real because they see a company that is forward looking, tech enabled and fully aligned both culturally and financially with their success. We believe our agent attraction pipeline is strong and we are confident in continuing this momentum into 2025 regardless of broader market conditions. Number two, the power of private label and large scale team expansion. Since launching last January, our private label program has been a game changer for independent brokerages looking to join Real, all while maintaining their established brand identity. Since launching last year, we’ve welcomed approximately 40 independent brokerages, representing nearly 1,200 agents through this initiative alone. In January, we announced our largest private label addition to date, Harvest Realty out of California, which is expected to bring 550 agents onto our platform. This growing adoption underscores the value of providing agents with the flexibility to keep the brands that they’ve worked so hard to build, to operate the business their way, all while leveraging the technology and the resources and the scale of the Real platform. Number three, enhancing the agent experience via investment in operations, training and support. Now this explosive growth requires best in class onboarding, training and operational support for our agents. So in partnership with our Chief Operating Officer, Jenna Rozenblat, we have made strategic investments to strengthen our brokerage operations, enhance agent experience and expand our overall support infrastructure. This is not just to service the current growth, but also to thoughtfully prepare the chassis for the upcoming years of growth and delivery. Let me actually break down, a few of the key initiatives for you. First, we’ve onboarded experienced leaders in brokerage leadership, agent experience and operational functions, all directly helping facilitate smooth transactions, which are core to driving revenue. Number two, we’re also doubling down on training and agent performance efforts in 2025, starting with the new leadership of Drew Thompson to lead Real Academy and agent development. We are also launching tailored training programs designed specifically for three of our core agent avatars, each with very distinct business models and needs. First, for individual agents. We’re launching a dedicated coaching and training program focused on helping individual agents with marketing, systems and skills to drive revenue growth. Individual agents play a critical role in Real’s culture and success. Their needs are completely unique, which is why we’re committed to delivering customized solutions to help this group directly. Second, for agent teams, as I mentioned, teams have been a major driver of growth and revenue at Real. We’re enhancing our existing team training with dedicated team leaders and indie brokerage masterminds to share best practices and operational insights to grow revenue even further. And third, our enterprise team models. This refers to larger organizations that have high transaction volumes starting at $100 million plus in GMV. I’m personally leading our $100 million roundtable initiative along with our mentors Dave Keener, Erik Hatch and Amy Youngren, all accomplished enterprise leaders. This is a major upgrade in year two of this initiative, providing high level leadership training, operational best practices and scalable systems for our enterprise teams. Simply put, we believe there are few, if any, brokerages that can offer this level of training and support at scale across the entire platform. Number four, agent retention, churn, and our philosophy on long term value. We are incredibly proud of the thousands of agents who have chosen Real as their home. But we also recognize that real estate is not a one size fits all business. Agents have diverse business models and personal circumstances that may lead them to explore other options. While we believe that Real provides the most compelling combination of economics and technology and flexibility and culture, we know that some level of churn is just simply inevitable. That said, we are pleased that our revenue churn was only 1.8% in the quarter and has remained steady at 2% or lower throughout 2024, a strong indicator that we’re successfully retaining the vast majority of our productive agents. Of course, we strive for a world with zero churn and we remain committed to pushing the boundaries of what is possible to ensure that our agents who align with our vision see Real as the best place to build their careers. All right, number five, Real’s growing presence in the luxury market. Lastly, I’m incredibly excited about the momentum we’re seeing in Real Luxury, our dedicated division for high end real estate. This was a major initiative that launched in May of 2024, led by our Chief Marketing Officer, Dre Madden, along with Kofi Nartey, who serves as our Executive Director. Real Luxury division has one of the highest qualification standards of any brokerage platform in the industry. A few highlights, we now have over 230 certified Real Luxury agents. We have already closed over $1 billion in luxury transaction volume. We have another $1 billion of transaction volume in the pipeline, meaning we’re on pace to more than double our luxury transactions this year. Now as we head into 2025, our priorities remain clear, continue to drive agent growth, roll out initiatives to support our agents, invest in operational excellence and agent performance, expand our technology ecosystem and most importantly, stay true to our mission of empowering agents with the best platform in the industry. Thank you. Thank you to our agents, our employees and our partners. I could not be more excited about what’s ahead. Now, I’ll pass it to Michelle for the financials.
Michelle Ressler: Thank you, Sharran, and thank you, everyone, for joining us. Before diving into our results for 2024, I want to acknowledge the remarkable year of performance across the board. In addition to adding over 10,000 agents, Real grew revenue 84%, crossed the $1 billion revenue mark and delivered four quarters straight of positive adjusted EBITDA, all despite the worst existing home sales market in three decades. While we’re not providing formal guidance for 2025, given our continued strong agent growth, we expect to deliver significant year over year improvement in revenue, gross profit and adjusted EBITDA. Seasonally, we expect the first quarter will be the lowest of the year for revenue and adjusted EBITDA, while Q3 will be the highest. One more housekeeping note. This quarter, we transitioned our financials to U.S. GAAP. This change had no notable impact from prior periods. However, we have refiled all of our quarterly financials for the first three quarters of 2024 in connection with our full year financial statement filing. Now for the financials. Full year 2024 revenue of $1.3 billion increased 84% from $689 million in 2023, while total transactions increased 81% to $120,601. Full year 2024 gross profit increased 82% to $114.7 million compared to $62.9 million in 2023. Operating expenses were $140 million, including approximately $10.4 million of expenses related to antitrust litigation compared to $88.9 million in 2023. We paid $42.7 million in revenue share during the year. Full year 2024 net loss attributable to the owners of the company was $26.5 million. This compares to 2023 net loss attributable to the owners of the company of $27.5 million. Notably, growth in gross profit outpaced growth in our recurring cash operating expenses resulting in full year 2024 adjusted EBITDA of $40 million, a significant improvement from $13.9 million in 2023 or $7.6 million when excluding the impact of a non recurring balance sheet adjustment taken in 4Q 2023. For the full year 2024, we generated $49 million of cash flows from operations and allocated $36 million to share repurchases, including $6 million in the fourth quarter of 2024. Moving on to the quarter. Revenue in the fourth quarter of 2024 rose to $351 million, an increase of 93% versus $181 million in the fourth quarter of 2023. This was driven by a 93% increase in brokerage revenue, resulting from 99% growth in the number of transactions closed, which totaled $35,370 in the quarter. Revenue from ancillary businesses totaled $2.5 million during the fourth quarter of 2024, an increase of 176% versus the fourth quarter of 2023, driven by 163% growth in One Real Mortgage business and 179% growth in One Real Title. Additionally, Real Wallet contributed $42,000 in its launch quarter. As Tamir mentioned, the current annualized revenue run rate is in the mid hundreds of thousands of dollars and growing. With respect to the first quarter of 2025, we expect revenue to decline sequentially compared to the fourth quarter of 2024, which is consistent with the seasonality in the existing home sales market. Gross profit for the fourth quarter of 2024 was $30 million, an increase of 93% from $15.5 million in the fourth quarter of 2023. Gross margin was 8.6% in the fourth quarter of 2024, unchanged from the fourth quarter of 2023. This reflects the positive impact of higher ancillary and fee revenue, offset by the significantly higher percentage of revenue generated by agents who had reached their annual commission cap. As a reminder, cost of sales include stock based compensation tied to our agent stock purchase program, where agents can elect to receive part of their commissions in Real stock. This amount totaled $8.8 million for the quarter as included in the stock based compensation line in our adjusted EBITDA reconciliation. As we’ve noted in the past, there can be fluctuations in our quarterly gross margin rate, resulting from the mix of revenue generated by agents who have capped. Historically, fewer agents reached this cap during the first quarter with the number increasing during the year. Based on our current outlook, we expect gross margin in the first quarter to be in the mid 9% range with the variance versus 2024, driven primarily by the mix of cap agents. Although with that said, we remain focused on driving gross margin improvement, particularly as our ancillary business lines continue to scale. Moving to OpEx. Total operating expenses, which include general and administrative, marketing and R&D expenses were $36.4 million or 10.4% of revenue in the fourth quarter of 2024, compared to $26.8 million or 14.8% of revenue during the fourth quarter of 2023. Revenue share expense, which is included in marketing, was $9.5 million in the fourth quarter of 2024, a 39% increase from $6.8 million in the fourth quarter of 2023. As a percentage of revenue, revenue share declined to 2.7% in the fourth quarter of 2024 from 3.8% in the fourth quarter of 2023, in part due to revenue share model changes we implemented last year, as well as the higher mix of revenue from agents who reach their commission caps. Note, that revenue share expense is entirely variable and reflects the portion of Real’s commission split that is paid to agents who attract new agents to the brokerage. Adjusted operating expense, which is a non-GAAP metric, totaled $20 million in the fourth quarter of 2024, an increase of 78% compared to $11.2 million in the fourth quarter of 2023. This uptick reflects increased headcount as well as a step up in professional fees in part related to our transition to U.S. GAAP. As a percentage of revenue, adjusted operating expense was 5.7%, an improvement from 6.2% in the prior year. Adjusted operating expense reflects total operating expense less revenue share, stock based compensation, depreciation and other unique or non cash expenses. This metric is designed to help investors assess the impact of our fixed ongoing cash operating expenses within our overall cost structure. Our focus remains on driving gross profit growth at a faster pace than operating expenses. Operating loss was $6.4 million in the fourth quarter of 2024 compared to an operating loss of $11.3 million in the fourth quarter of 2023, while net loss attributable to the owners of the company was $6.6 million in the fourth quarter of 2024 compared to a net loss of $12 million in the fourth quarter of 2023. Adjusted EBITDA improved to $9.1 million in the fourth quarter of 2024, a $600,000 increase from $8.5 million in the fourth quarter of 2023. Excluding the impact of a non recurring balance sheet adjustment booked in that quarter, adjusted EBITDA improved by $6.8 million. This increase was driven by our strong revenue and gross profit growth, which outpaced growth in our cash operating expenses. Turning to our balance sheet and cash flow. We ended the quarter with unrestricted cash and investments of approximately $32.8 million compared to $32 million at the end of the third quarter of 2024. We believe we are well capitalized with no debt and ample liquidity to fund our continued growth, while continuing to return capital to shareholders. As always, we will continue to diligently manage costs and allocate capital effectively, always with a focus on long term shareholder value creation. To close, I’ll recap a few KPIs we are commonly asked about. The total value of homes transacted over our platform increased to $14.6 billion in the fourth quarter of 2024, a 115% year over year increase. The median sale price of properties sold by our agents was $380,000 in the fourth quarter of 2024, which represents a 7% year over year increase. Adjusted operating expense per transaction was $565 and declined 11% year over year from $632, a testament to the efficiencies enabled by our technology platforms. As of the end of the fourth quarter of 2024, 12.3% of agents had exceeded their annual commission cap, up from 10.3% at the end of the fourth quarter of 2023. Canada accounted for 10% of commission revenue in the fourth quarter of 2024 compared to 18% in the fourth quarter of 2023. Our headcount efficiency ratio, which we define as full time employees, excluding One Real Title and One Real Mortgage employees, divided by the number of agents on our platform was one to 136 at the end of the fourth quarter, a significant improvement from one to 116 at the end of the fourth quarter of 2023. The modest sequential decline from one to 140 at the end of the third quarter 2024 reflects the headcount additions across the organization to support our growth in 2025. More details on our results and key operating metrics can be found in the earnings press release and investor presentation that accompany this call. I will now turn it back to Tamir.
Tamir Poleg: Thank you, Michelle. As we conclude today’s call, I want to step back and reemphasize why we do what we do. Real was founded on a simple belief that real estate agents have historically paid too much money for too little value. We remain convinced that this industry can and should do better for the professionals who drive it forward. We believe that the traditional brokerage model is becoming less relevant as the industry evolves. High costs, redundant overhead and outdated business practices are giving way to more agile technology driven solutions. With each passing day, the need for a more efficient modern approach becomes clearer. We believe that real estate transactions should be seamless, transparent and powered by technology. The homebuyers and sellers of tomorrow will not tolerate clunky fragmented processes. They will expect real time AI driven insights, instant access to financing and a fully digitized closing experience. That is why we are building Real into an ecosystem for agent businesses, not just the brokerage. We believe in being relentless about efficiency. Legacy brokerages rely on physical office space and manual processes. We rely on software, technology and automation. We will continue to push the boundaries of what a lean high performance brokerage can achieve. We believe that real estate agents should have access to more ways to build wealth. That is why we have designed one of the most generous revenue share models and agent equity incentive plans in the industry. It’s why we created Real Wallet and why we will continue to introduce new opportunities for agents to earn more income and achieve financial independence. We believe that a small focused team of talented people working toward a shared goal can outperform even the largest organizations with deep pockets that lack focus. We believe speed, innovation and execution from such a deeply committed team will always outmatch sheer size. We believe in working hard and being kind. We are operating in a highly competitive industry, but we don’t measure success by comparison. We measure it by the value we deliver to our agents every single day. We will take big swings, we will make mistakes and we will learn from them. But what we will never do is lose sight of who we serve, our agents and their clients. If we stay focused on delivering for them, then success for our shareholders will be inevitable. I want to close by expressing my deepest gratitude to our agents, employees and partners. Your commitment, resilience and belief in our vision have been the driving force behind our success. In earmarked by macro uncertainty and ever evolving industry landscape, we have thrived. This is only the beginning. The best is yet to come. Now let’s move to the Q&A session.
Operator: Certainly. Everyone at this time, will be conducting a question and answer session. [Operator Instructions] Your first question is coming from Darren Aftahi from Roth Capital Partners. Your line is live.
Darren Aftahi: Good morning. Thanks for taking my questions, and nice job on the quarter. I guess that pertains to kind of seasonal trends in 4Q. Obviously, there's historically a dip sequentially, but your business in the fourth quarter didn't really see too much of a dip. I'm just curious if there's anything underlying that's anomalistic in the fourth quarter that you saw, or you're just winning more market share and that's flowing through into your business.
Tamir Poleg: Hi, Darren. Thank you. Yeah, I think that it's attributed to the strong growth and the fact that we're taking market share. I think that we, I mean, overall, in the industry, were surprised by the performance of the market, especially in December. So I think it was a combination of our strong growth, our ability to attract more agents and take market share, and also some servable market conditions, especially towards the end of the quarter.
Darren Aftahi: And then just one more. As you look to 2025, can you talk about areas where, I know in past quarters, you talked about investing in some financial compliance stuff, as well as some data science areas. How impactful is that going to be, one? And then as you think about strategic initiatives and your hiring of Nancy, just about the ancillary business and really what needs to happen there in order for that to truly scale up?
Tamir Poleg: Thanks. Sure. I can talk about the ancillary services. Michelle can probably discuss the investment in structural things. So yeah, Nancy joined us a couple of months ago with demonstrated experience in scaling title companies and attach rates in Title Forward at Redfin. Again, both Title and Mortgage grew very significantly in 2024. We thought that they can grow even faster. Mortgage grew more than 200%. Title grew about 60% year over year. We believe that Nancy will do a great job at attaching titling in the states where One Real Title is operating. Just to give you a little bit of sense, our attach rates on mortgage at the moment in states where mortgage is available is around 1%. On Title, the attach rates are roughly 4%. If we're talking about Title JVs, the most successful JVs were experiencing attach rates of about 90%. On average, it's more around 30% attach rates on JVs, which we think should be improved. I think that Nancy has a lot of work to do when it comes to level of service and just bringing the right talent into the company and scaling it. But we're very confident that you will see significant improvement this year compared to 2024. Also, that's coupled with a few product initiatives that we're rolling out that will just provide a perfect alignment between the consumer, the agent, and the company to just drive attach rates. I think we talked a little bit about that in the past, but we can elaborate a little bit later.
Michelle Ressler: Hi, Darren. Good to hear from you. So, regarding our investments this year, it is another investment year. Sharran did mention in his section some areas and operations where we'll be investing in agent experience, training support. We have continuous investment in our products, so there will be increases in R&D, and we're continuing to grow our compliance-based functions. So, we can definitely see a small, fixed OpEx base growing in 2025. We'll continue to be thoughtful, and we'll always endeavor to grow our gross profit faster than our OpEx.
Operator: Your next question is coming from Stephen Sheldon from William Blair. Your line is live.
Stephen Sheldon : Hey, thanks for taking my questions, and nice work in the quarter. Maybe starting with Sharran, it seems like you're tracking for about 1,000 agents added per month in the first couple months of the year, which is really good to see. So, I'm curious what you're seeing in the agent team and independent brokerage recruiting pipeline as we think about the next couple quarters, and specifically, does it seem like the momentum to start the year could continue given what you're seeing in that pipeline?
Sharran Srivatsaa: Yeah, good morning, John. Thank you so much for this. So, yes, we are tracking similar growth, and so not only have we done this 1,000 agents a month roughly for the last two, but I think if you average out the last kind of 12, 14 months, it's been very close to that. What Tamir always likes to call the flywheel, the flywheel is important for us to think about because the model as a whole, when you have more agents at scale, more agents are talking about Real, and the revenue share model helps folks kind of get the model discoverability and have the conversation more. So, we're having more conversations from a pipeline perspective because we have more agents out there, one, being at Real, having transactions with other agents, two, being at Real, called with private label or with teams joining that are then saying, hey, I just made this move. So, our pipeline is the largest it's ever been. However, I do want to underscore one thing. It takes longer for teams and independent brokerages to make the move. So, even though we are talking to more agents, more teams and brokerages today, the moving a large operation, as you can imagine, is a little complex. So, one, we're super excited about the size of the pipeline overall. Two, we believe that this momentum, we're excited and hopeful that this momentum will continue, but I just want to caveat that larger teams and organizations take a little bit to move.
Stephen Sheldon : And then, I guess you gave a little bit, I want to dig in a little bit more on mortgage in particular. How is the team thinking about how aggressively you might grow that loan officer headcount to both cover more states across the U.S.? I think you have a good slide in your presentation showing where you are right now, and then to add capacity in existing states. And just generally, how do you think about better aligning loan officers and Real agents to support those attach rates?
Tamir Poleg: Yeah. So, we ended the year with about 90 loan officers at Real mortgage, One Real Mortgage. We started 2024 with 18, I believe. So, obviously, we're adding more loan officers, and some of them are coming with a book of business. About half of the new additions are Real agents who got licensed as loan officers just to maximize their earnings. So, obviously, that will drive attach rates. I'm a big believer in productizing things. So, we came up with a couple of initiatives. You must remember the touring agreements that we rolled out because of the NAR changes. So, in those touring agreements, we are offering an incentive to buyers that will use One Real Mortgage with the help of our agents. And we provide them or offer them a credit of $2,500 at closing, and we're starting to see that kicking in. So, a lot of transactions are coming through that. And then, as I mentioned, we are opening up an API open to all mortgage companies and title companies. And obviously, it will be used by One Real Mortgage and One Real Title. And that API will help lenders and title companies send us signals or information about how their transactions with our agents are progressing. And that will allow us to pay our agents commission advances well ahead of closing. So, I think that this is a perfect example where we can actually create some sort of an incentive for agents to use, obviously, any lender or any title company that will use this API. We will use it for sure. But I think that, that will be rolled out in about a month and a half, and that can dramatically help that rates on our side. So, again, it's a multitude of initiatives, from allowing agents to become licensed as loan officers to also implementing some sort of a revenue share model within One Real Mortgage. So, loan officers can attract their friends and then earn revenue share out of their production as well. And then, everything that we're doing on the product, there are a lot of things that are starting to scale, and we're seeing great momentum. And as I said, we're super optimistic about those two companies for 2025.
Operator: [Operator Instructions] Your next question is coming from Matthew Erdner from JonesTrading. Your line is live.
Matthew Erdner : Hey, good morning, guys. Congrats on another great quarter, and thanks for taking the question. I want to turn to the Real Wallet. Thanks for the kind of guidance there, the $500,000 run rate. What are you seeing there margin-wise? And then, in terms of adoption, I believe you said 2,500 agents there. How do you get from that 2,500 to 5,000? And then, eventually, scale it across the business?
Tamir Poleg: Thanks, Matt. So, we soft-launched the wallet at the end of October 2024, so we're about four months in. We haven't really pushed it hard, and a lot of the features that are planned for the wallet are still not available. So, just as a recap, we do have checking accounts and debit cards in the U.S., and we have lines of credit in Canada. We don't have checking accounts and debit cards in Canada at the moment, but we are starting to push wallets very heavily, and very soon we will have a variation of credit lines in the U.S. So, at the moment, we have roughly $7 million in agent deposits. We are about to roll out tax accounts for agents, meaning that agents could allocate a portion of their revenue put into a separate account and just sitting there waiting for the tax season to arrive. And obviously, as we continue to scale the lines of credit and open them up in the U.S., we will see more revenue. So, we're extremely pleased with everything that we've seen on the wallet side. There's a lot of excitement amongst the agents. We haven't started marketing it heavily, but going from 2,500 agents to 5,000 agents, I think that that will happen in the next couple of months. In addition to that, we are in the process of hiring a general manager for the wallet. Up to now, it has been managed by Pritesh and Alex, our General Counsel, and myself, and now we're bringing in the resources to actually take this baby to the next level. So, again, I think that we're seeing encouraging signs. Revenue is coming in, and this has been the smoothest and probably fastest rollout of any product we ever launched.
Michelle Ressler: Just to touch on the margin question, it's around a 90% gross margin business. And to just further substantiate Tamir's point, wallet, as you mentioned, we really haven't made much of an effort in pushing it. We saw over $900,000 in debit card spend in February, and it's increasing rapidly. So, we're really encouraged by the early signs and super excited for where this is going.
Matthew Erdner : And then following up on the operating expense question, given the increase in headcount for the growth, should we expect fourth quarter to be a good run rate in terms of G&A and R&D spend as we look ahead to '25, or should we expect a little bit of an increase there, given that mortgage capacity might need to increase a little bit, and then same with the wallet?
Tamir Poleg: Michelle?
Michelle Ressler: Yeah, sorry. We're not looking to add too much. We've made a couple additions already to the team, and we're excited about the addition of Dominic, but it's not going to be a very cost-heavy area. OpEx overall will grow in 2025, as I mentioned earlier, but we're super focused on growing gross profit faster than OpEx, and we'll continue to drive profitability.
Operator: There are no further questions in the queue.
Ravi Jani : Great. Well, now that we've concluded the analyst portion of the call, we'll address some of the questions received from shareholders on the Say Technologies Q&A portal that was opened last week. We received a number of excellent questions, and so thank you to all who participated. Tamir, first question for you. Can you help us understand the unit economics of a Title and Mortgage transaction? And I think you addressed it earlier on some of the benefits of a Rreal agent working with Title and Mortgage, but maybe spend some time with just the unit economics to Real.
Tamir Poleg: Sure. So, we're very focused on growing the attachment of our ancillary services because of the unit economics that are very compelling. To put it in perspective, on a traditional brokerage transaction, we generate around $10,000 in revenue and about $900 in gross profit. In comparison, a Title transaction typically generates $3,000 in revenue at an 80% gross margin, while a Mortgage transaction generates roughly $6,000 in revenue at 50% gross margin. And when you add it all up, the transaction that includes both Title and Mortgage alongside a broker transaction results in total revenue of nearly $19,000 with gross profit exceeding $6,000, so about 7 times the gross profit of a brokerage-only transaction. So, at the end of the day, our goal is to provide agents with a seamless, efficient, and high-quality closing experience that helps them close more deals and grow their business. But obviously, as you look at the numbers, if we're able to attach Mortgage and Title, just the margin profile of a transaction completely changes.
Ravi Jani : Next question for Michelle. Amongst the teams that have already formed a Title and Mortgage JV, what is the attachment rate for Title and Mortgage? And is there a plan to start disclosing more detail about the Title and Mortgage segments to investors?
Michelle Ressler: Yeah, great question. So, just to clarify, our joint ventures are only available for title. They're not available for mortgage. What we've seen is that the attachment rates vary significantly. Our most successful title JVs are seeing attachment rates of over 80%, in some cases approaching 90%, and there are others that are in the 30% range, so that's still a meaningful share. We're highly encouraged by the potential, especially with the new leadership in place, and we expect to drive more consistent and meaningful attach rates over time. We are aware that it won't happen overnight, so we're super focused on ensuring that the right processes and execution are in place so that we can support sustained growth. As for the disclosures, I mean, we already break out our ancillary services performance in our quarterly and annual financials. We'll continue to be transparent about the trajectory of these businesses, and if you're looking for information, we just encourage you to refer to our filings or, of course, send an email to Ravi and the IR team. They're always available to offer additional insights.
Ravi Jani : We'll stay with Michelle. Is management expecting to have positive net margins in Q2 and Q3 of this year?
Michelle Ressler: So, we don't provide formal guidance. I think you know that, and as I mentioned earlier on the call, this is still a period of investment for the company. Having said that, our focus remains on driving improved profitability, and as we get a little bit further into the year, we can revisit the discussion.
Ravi Jani : Last question for Sharran. There were a couple of questions about perks and benefits offered by others and whether Real has plans to increase the benefits offered to agents?
Sharran Srivatsaa: Yeah, thank you, Ravi, and the answer is yes. We are always building new benefits for agents, but this is a really important question, so I want to spend just kind of a quick minute explaining some behind-closed-doors conversations that most people don't really hear. It's really important to note that the model is the incentive. That is the platform of the future, and we keep innovating to build on the model to help all our agents. I'll give you some context. I actually ran a traditional brokerage model in the past. So I understand this first-hand because lots of companies feel like it helps to just throw more unrelated benefits at the agents to just make a list, but that doesn't really actually help our agents do what they need to do. You'll see that this is kind of why many companies have to go outside their core model to offer major incentives for agents to attract and join them when we don't have to, meaning our model is the incentive, and our focus is always going to be on creating what I really like to call a platform of possibilities for our agents. How do we build things structurally what an agent cannot build for themselves at scale? That is a platform of possibilities, right? So, revenue share, which is one of the most lucrative and transparent in our industry. Take equity incentives to gain ownership in the company that they build and grow. Deep technology infrastructure like AI systems that they would have to go invest in otherwise, or as Tamir and Michelle talked about, the kind of wallet and financial technology products that is built into Real Wallet. We have world-class kind of on-demand training that they would have to deeply invest in otherwise. And we also added healthcare and retirement benefits to keep them all healthy for the long term while they serve their clients. So, the answer is yes, but we are continuously focused on kind of new added benefits for our agents, but they will always be built to create a platform of possibilities for our agents because every agent's goal and every agent's operating model is completely different. And so it's our goal to help them build what they can't build themselves.
Ravi Jani : Thanks, Sharran. If there are any additional questions on today's earnings release, please feel free to contact me directly. Matthew, would you please give the conference call replay instructions once again? Thank you.
Operator: Thank you, everyone. This concludes today's conference call. Today's conference will be available for replay. The replay phone number is 877-481-4010, and the replay code is 51907. Once again, the replay phone number is 877-481-4010, and the replay code is 51907. You may disconnect your phone lines at this time, and have a wonderful day. Thank you for your participation.